Operator: Good afternoon. My name is Jamaria, and I will be your conference operator today. At this time, I would like to welcome everyone to the salesforce.com Q2 2013 Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Mr. David Havlek, Head of Investor Relations. Sir, you may begin. 
David Havlek: Thanks, Jamaria, and good afternoon to everyone joining us today to discuss salesforce.com's second quarter fiscal year 2013 results. The details of our results can be found in a press release issued about an hour ago or in our Form 8-K filed with the SEC.
 In addition, I'm thrilled to announce today that we'll be tweeting the highlights of our call on Twitter for the first time ever. This is an exciting addition to our call and in making our broadcast even more accessible. To join us on Twitter, you can follow us at the handle @salesforce_ir.
 Here to discuss our second quarter performance today are Marc Benioff, Chairman and CEO, who's in a very good mood today; as well as Graham Smith, our Chief Financial Officer. Marc and Graham will be making a few comments, and then we'll open things up to your questions. [Operator Instructions] During our discussion today, either in our prepared remarks or in our response to your questions, we may offer incremental metrics to provide greater insight into the dynamics of our business or our quarterly results. Please be advised that the additional details may be onetime in nature and may or may not be provided in the future.
 In addition, please also note that our commentary today will primarily be in non-GAAP terms. Reconciliations between GAAP and non-GAAP metrics for both our reported results and our forward guidance can be found in our earnings press release.
 It's also possible that we may reference certain unreleased services or features not yet currently available on our discussion today. Because we cannot guarantee that future timing or availability of these services or features, we recommend customers listening today to make their purchase decisions based on services and features that are currently available.
 With that, let me make this call official with a brief Safe Harbor. The primary purpose of today's call is to provide you with information regarding our fiscal second quarter 2013 performance. Some of our discussion and responses to your questions may contain forward-looking statements. These statements are subject to risks, uncertainties and assumptions. Should any of these risks or uncertainties materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements.
 All of these risks, uncertainties and assumptions, of course, as well as other information on potential risk factors that could affect our financial results are included in our forms filed with the SEC, including our most recent report on Form 10-Q, particularly under the heading Risk Factors. 
 To access the press release or historical results or any of our SEC filings, the webcast replay of today's call or simply to learn more about Salesforce, I encourage you to visit our Investor Relations website at salesforce.com/investors.
 All right, let's go ahead and get this thing started. Let me turn the call over to Marc. 
Marc Benioff: Hey, thanks, David, for the world's largest IR introduction. We're having an outstanding year of growth, and I'm absolutely delighted to share our second quarter results with all of you today. Revenue for the second quarter rose 34% from a year ago to $732 million, and constant currency revenue grew even faster at 37%. Just one year after surpassing a $2 billion annual revenue run rate, we now expect to break through that $3 billion annual revenue run rate threshold next quarter.  Pretty awesome. It was only a couple of years ago that I remember was on the phone with all of you talking about a $1 billion revenue run rate, and now we're at $3 billion.
 Operating cash flow exceeded $130 million, an increase of more than 60% year-over-year. Operating cash flow is one of the very best measurements of success at salesforce.com, and I'm delighted to see this great result. Deferred revenue was more than $1.3 billion, which is up more than 40% year-over-year, and the dollar value of booked business on and off the balance sheet now tops $4.1 billion, up more than 50% year-over-year.
 Given our strong financial results and pipeline of new business, we're thrilled to announce that we're once again raising our full fiscal year 2013 revenue guidance. The high end of our guidance puts us on pace to deliver a full year revenue growth rate of 34%.  Awesome. Since we first gave guidance in November last year, we have now raised our forecast for the year by more than $100 million. This is evidence of continued growth and execution at salesforce.com and the industry's move to social enterprise.
 Salesforce.com is leading customers in their transformation to become social enterprises. Social enterprises are able to connect with customers, partners and employees in entirely new ways. And with our 6 product lines, the Sales Cloud, the Service Cloud, the marketing cloud, Salesforce Chatter, Work.com and Salesforce platform, our customers have the tools to create a true social front office and are revolutionizing the way they sell, service, market, collaborate, work and innovate.  You'll be hearing a lot about that at Dreamforce on September 18 to 21, but more on that later.
 Salesforce.com is the clear leader in sales, service, marketing and cloud platforms. Our flagship, Sales Cloud, is once again the undisputed leader in Gartner's Magic Quadrant for Sales Force Automation this year, in cloud or on-premise.
 The Service Cloud is also the undisputed leader in Gartner's Magic Quadrant for customer service and support in cloud or on-premise, and I'm thrilled to announce that the Service Cloud has broken through the $500 million annual revenue run rate milestone and is well on its way to go to $1 billion. Congratulations to our Service Cloud team for their outstanding execution.
 And you will see at Dreamforce the Salesforce Marketing Cloud, the next $1 billion product line in the making. Gartner predicts that CMOs will soon outspend CIOs over the next 5 years as the social revolution sparks the biggest transformation that the marketing industry has seen since the birth of television nearly 60 years ago.
 With the acquisitions of the 2 #1 social media marketing companies, Buddy Media and Radian6, salesforce.com is now the clear choice for brands to listen, engage, advertise and measure their social marketing programs in a whole new way. And Salesforce's Marketing Cloud already manages more than 10% of Facebook's ad spend.
 The Salesforce platform has been our fastest-growing product line over the past year and will be our fourth $1 billion opportunity. It is the only solution rated by Forrester as a leader in every single platform-as-a-service category for coders and for business experts, for ISVs and for service providers. That's why developers today have coded more than 300,000 applications on our Force.com service and more than 2 million apps on Heroku, making the Salesforce platform the #1 platform for business applications.
 As cloud, mobile and social go to the [ph] heart of salesforce.com social enterprise architecture, the possibilities for innovation are really endless.
 Now let me share with you a few examples of new social enterprise wins from the quarter. Allergan, a growing multi-specialty health care company, is transforming the physician experience with the Sales Cloud, Service Cloud and Salesforce platform. They're building a private social network that are going to give sales and service reps a 360-degree view of the physicians they support. And by moving a number of its apps under the Salesforce platform, Allergan is now -- is delivering a unified brand experience to its global community of physicians on any browser, on any mobile device, across any network.
 And Virgin America is one of the fastest-growing airlines in the country is consistently voted #1 for its customer experience. Virgin is a highly distributed workforce where more than half of its teammates, such as pilots and flight attendants, are constantly on the move. With Salesforce Chatter and Work.com, Virgin is creating a wall-to-wall employee social network to align, motivate and drive teammate performance across its entire workforce, and I'm looking forward to welcome their Chairman, Richard Branson, to Salesforce's Dreamforce on September 19.
 Nestlé is the world's leading nutrition, health and wellness company. They chose salesforce.com to connect more than 300,000 employees in what will be the largest Salesforce Chatter deployment ever. With Chatter, Nestlé plans to drive a whole new level of employee collaboration from inside the office for any mobile device.
 And Aeon is Asia's largest retailer, with thousands of supermarkets, drug stores and other shopping outlets. They're transforming the supply-chain experience by connecting thousands of suppliers, distributors and employees in a partner social network with the Salesforce platform and the Sales Cloud.
 In addition, Burberry expanded its relationship with salesforce.com in the quarter with a new Social Enterprise License Agreement. Burberry plans to transform the retail store experience for customers by standardizing its entire army of service professionals on the Service Cloud and extending it into the stores with its client selling app. Burberry also plans to use Salesforce's Radian6 to listen and engage with customers right where they are in social networks and will be using Site.com to allow teams to build web pages on the cloud. This complements Burberry's worldwide social enterprise network built on Chatter that's already been deployed to all of their employees.
 Other new or add-on transactions in the second quarter included Axiom, Ashland, Cigna, KBDI, Levi's, Merrill Lynch, Office Depot and Vonage and much, much more.  In every one of these transactions, companies are becoming social enterprises by using our social and mobile cloud platforms to redefine their front office and to reposition their old enterprise software as their back-office solutions.
 Look, there's no better barometer for customer usage than its success in delivering the number of transactions that Salesforce is doing each and every day. Our service continues to support and deliver transactions for customers at an unprecedented scale. Today, our customers have created 1 million workflow rules, which is an increase of 50% year-over-year; 2 million custom objects, which is up nearly 60% year-over-year; and nearly 3 billion lines of Apex Code, which is twice the number from a year ago.
 And I'm delighted to announce that we delivered nearly 60 billion transactions in the quarter, up 66% from a year ago. That's about 900 million transactions every business day. Salesforce.com is now waiting with anticipation for its first billion-transaction day. That will be a huge milestone in enterprise cloud computing when Salesforce delivers 1 billion transactions in a single business day, and it's coming very, very soon. 
 In 3 weeks, salesforce.com will host Dreamforce 2012. It will be the largest event in the history of enterprise software. If you thought last year was unbelievable, wait and see what we have in store this year. We're expecting to reach over 100,000 total attendees, 70,000 registered on-premise attendees and over 30,000 attending online. Dreamforce takes place from September 18 to 21 right here in San Francisco. It will be the industry's largest vendor-led gathering for social enterprises, and we'll have more than 350 partners in the expo and 750 breakout sessions.
 And we will be inspired by some of the world's fastest-growing companies, like Virgin and Burberry, Facebook, Charles Schwab, Activision, General Electric, Coca-Cola, Toyota and so many more, who will share their vision and all the exciting ways that are transforming of their social enterprises.
 They'll be bringing their global CIOs and their chief executive officers as well to talk about how they've achieved next generation of revenue growth. And just as we heard on Kimberly-Clark's earnings call how salesforce.com was paramount in helping them to achieve next-generation revenue growth, we continue to see salesforce.com's customers grow at a much higher level than any other customer of any other software company.  In fact, salesforce.com's customers say that their revenue growth is, on average, 47% higher than their next-stage peers. 
 Join me on stage with a number of special guests talking about growth, innovation and execution at Dreamforce, which will include Richard Branson; Jeff Immelt; Angela Ahrendts; General Colin Powell; as well as a special appearance by motivational guru, Tony Robbins, who will run an entire day focused on how to transform yourself into the next-generation social enterprise; and our musical guest, the Red Hot Chili Peppers. 
 We'll also be hosting the third annual benefit concert for the UCSF Benioff Children's Hospital on Thursday, September 20, which will feature 7-time Grammy-award-winning musical group, Lady Antebellum; and comedian Dana Carvey. If you're interested in a sponsorship or a ticket for the UCSF Benioff Children's Hospital benefit, please go to theconcertforucsfbch.com or go to benioffchildrenshospital/concert.
 To register for Dreamforce, you can go to Dreamforce.com and talk to David. And also please catch me on Mad Money tonight with Jim Cramer in about an hour. I'll look forward to seeing you there.  And with that, let me turn this call over to Graham to discuss the financial details of our second quarter. 
Graham Smith: Thank you, Marc. Well, we delivered another quarter of great operating results in Q2. In the face of significant FX headwinds, we posted strong year-over-year revenue growth, balanced with more than 200 basis points of operating margin improvement.  We also delivered outstanding operating and free cash flow in Q2. In fact, this is our best-ever second quarter cash flow result. 
 So let me take you through the financial highlights, starting with revenue. The second quarter revenue was $732 million, that was up 34% over last year and our sixth consecutive quarter of year-over-year revenue growth in the mid-30% range. Excluding a foreign exchange headwind of $17 million, revenue grew 37% over Q2 last year. There's no other enterprise software company of our scale growing at this rate.
 From a geographic perspective, we continue to deliver strong year-over-year revenue growth in each of our major regions. Revenue in the Americas grew 38% to $508 million. Revenue in Europe grew 40% on a constant currency basis and 22% in dollars to $125 million. And finally, revenue in Asia increased 28% in constant currency and 29% in dollars to just under $100 million.
 So with our Q2 results, we achieved a number of regional milestones. We now have a $2 billion annual revenue run rate in the Americas. We have a $500 million annual revenue run rate in Europe and a $400 million annual revenue run rate in Asia.
 In addition to solid new business growth, second quarter revenue was also assisted by our efforts to reduce attrition. Attrition continued its slow but steady decline in dollar terms and remains in the low teens on a percentage basis.
 Moving to the income statement. Non-GAAP operating profit was up 60% over Q2 last year. This translated to improving non-GAAP operating margins of just over 200 basis points year-over-year, driven principally by improvements in G&A but also through better execution in sales and marketing. 
 It's worth noting that second quarter year-over-year operating margin comparison is apples-to-apples since the first anniversary of the Radian6 acquisition was at the beginning of Q2. We continue to grow headcount in the second quarter, adding 430 net new employees to bring our total employee population to more than 8,700.  That's up 38% from the second quarter last year. And as we look to Q3, we expect continued year-over-year headcount growth as a result of organic hiring and from our acquisition of Buddy Media, which will add about 300 new employees to total headcount in the third quarter.
 Turning to earnings, non-GAAP EPS was $0.42 in the second quarter or $0.03 above the high end of our guidance range. While approximately half of our overachievement was driven by the improvement in our operating margin, EPS also benefited from a lower-than-projected share count.
 Turning to cash flow, second quarter operating cash flow was $136 million.  That's up 64% over last year. An increase in accounts payable, partially offset by an increase in prepaid expenses and other current assets, contributed approximately $15 million of benefit to operating cash flow in the second quarter. Even excluding this amount, it was still a strong cash quarter.
 For the third quarter, we expect operating cash flow to be lower sequentially and year-over-year for several reasons: first, we expect the approximately $15 million benefit I just described will reverse next quarter, creating a roughly equivalent headwind in Q3; second, we will pay approximately $10 million as the final settlement for the California State wage and hour lawsuit we discussed during the second quarter of last year; and then, third, we expect the acquisition of Buddy Media to reduce operating cash flow by approximately $5 million. Nevertheless, with our strong Q2 and first half cash flow, we still expect full year operating cash flow growth in the low-20% range.
 Cash and equivalents increased by more than $550 million in Q2, driven primarily by a shift from marketable securities as we prepared for the acquisition of Buddy Media. Accounts receivable, which was up 30% over Q2 last year, continues to be well managed, with DSO at 55 days, that's down from 58 days in Q2 last year.  And CapEx in the second quarter was approximately $29 million, that was down 35% over Q2 last year. The year-over-year decline in CapEx is really the result of the exceptionally high level of data center investments we made in Q2 last year.
 For the second half of the year, we expect CapEx to increase meaningfully on a year-over-year basis, driven by new office build-outs and other leasehold improvements. These will be primarily related to our new space in San Francisco at 50 Fremont Street and new offices where -- we've opened in Chicago. 
 Free cash flow, which we define as operating cash flow less CapEx, was $107 million in Q2. That's up 182% over the second quarter last year. For the first half of fiscal 2013, free cash flow was up 83%.
 Turning to the balance sheet. Deferred revenue in the second quarter was approximately $1.3 billion, that's up 43% over Q2 last year. And excluding a year-over-year foreign exchange headwind of approximately $26 million, deferred revenue actually increased 46% over the second quarter last year. And on a sequential quarter basis, in other words, going from Q1 to Q2, deferred revenue was impacted by foreign exchange headwinds of approximately $14 million.
 Deferred revenue in Q2 continued to benefit from the shift toward annual billing that we've discussed on the last 2 calls as well as some of the large multiyear invoice we discussed in Q4. The benefit in Q2 was approximately $120 million. That's compared with a benefit of approximately $145 million in Q1 and approximately $155 million in Q4. We expect this sequential decline in dollar benefit to continue in Q3.
 Excluding these invoicing benefits, second quarter deferred revenue grew by approximately 30% year-over-year, just as it did in Q1, and we expect a similar organic growth rate to deferred revenue in the third quarter. Looking ahead, given the effects I've already described, we now expect reported deferred revenue to grow slightly slower than the 43% growth rate we just reported in Q2.
 Off-balance-sheet backlog or unbilled business that is booked on the contract but not yet invoiced was approximately $2.8 billion in Q2.  That's an increase of more than 50% over Q2 last year. Deferred revenue plus this unbilled backlog now exceeds $4.1 billion.  
 Before I talk through our Q3 and fiscal 2013 guidance, I just want to highlight the impact that the weakening euro is having on our financial results. The change in the euro-dollar rate from just 3 months ago has decreased our second half revenue outlook by approximately $10 million. As Marc mentioned earlier, we've increased the high end of our fiscal 2013 guidance range by $115 million since our Q3 call last year, including Buddy Media, while the euro-dollar rate change since November has reduced our full year revenue forecast by approximately $30 million.
 In the context of these FX headwinds, we're delighted to be raising our full year revenue outlook to $3.025 billion to $3.035 billion, which represents growth of 33% to 34% over FY -- fiscal 2012 and, obviously, includes approximately $25 million from Buddy Media.
 So we now estimate full year non-GAAP EPS in the range of $1.48 to $1.51, which reflects our stronger second quarter results as well as the previously announced dilution in the second half from our acquisition of Buddy Media.
 For Q3, we anticipate revenue in the range of $773 million to $777 million for year-over-year growth of approximately 32% to 33%, and we expect Q3 non-GAAP EPS in the range of $0.31 to $0.32. All of the underlying assumptions for our non-GAAP guidance as well as our GAAP guidance and a complete GAAP to non-GAAP reconciliation can be found in our earnings press release issued today.
 So to wrap up, we had another great quarter with strong revenue and deferred revenue growth despite considerable foreign exchange headwinds. At the same time, we demonstrated the strength of our operating model by delivering significant operating margin improvement and cash flow growth. This momentum positions us well for a strong [indiscernible]  
 Before I turn the call over to the operator for Q&A, I just want to encourage you all to register for Dreamforce, where we will be holding our annual investment community forum. Contact David Havlek or the rest of the Investor Relations team for registration details.
 With that, I'll turn the call over to the operator for questions. 
Operator: [Operator Instructions] Our first question will come from the line of Rick Sherlund with Nomura Securities. 
Richard Sherlund: Marc, I'm curious at Dreamforce if we're going to hear a lot more about Rypple and your plans in the HR market. And I wonder if you could address whether it would be logical for us to assume that you're ultimately going to address the broader HR market and financials as well, if that's a logical extension of your business. 
Marc Benioff: Thanks, Rick. At Dreamforce, we're going to be announcing Work.com, which is our rebranding and redevelopment of Rypple. You'll be seeing the kind of the new version of that and our direction there. You'll -- we'll also have with us Aneel Bhusri is the CEO of Workday, and you'll see how we are working hard to integrate with them to deliver a full HR suite to our customers between salesforce.com's Work.com system and Workday. And you'll also see Workday's integration with Chatter as well. We're very excited about our initial focus here into HR. 
Operator: Our next question comes from Adam Holt with Morgan Stanley. 
Adam Holt: I guess my first question is for Marc. Marc, could you talk about what you saw from a large-deal perspective in the quarter and maybe give us an update on how some of the especially large transactions that you did in the fourth quarter and first quarter are ramping in terms of getting up and running? 
Marc Benioff: Sure. The first thing that I'll say is, of course, salesforce.com is not dependent on any one type of transaction to make its quarter happen. We have a rich and full portfolio across small, medium and large business as well as small, medium and large transactions. Salesforce.com had an outstanding quarter in large transactions. We profiled some of those, including Allergan and Virgin and Nestlé and others. And we also closed a very large transaction, in fact, one of our very largest transactions ever, with a large networking technology company, which consisted of both a very important renewal plus an extremely large additional ACV or what we call first-year contract component, and so it was really a great quarter for large transactions. 
Operator: Our next question is from Brad Zelnick with Macquarie. 
Brad Zelnick: Can you give us some insight into how signings performed from small business, medium business and large enterprise and of the 3, whichever performed least favorably? Is there anything that you could have done better there? 
Marc Benioff: We saw really excellent performance across enterprise and medium business through all geographic regions, and we saw some softened sales in very, very small businesses in the U.S. that we think are related to the economy.  But as you can see, it didn't affect our total performance as an organization. 
Operator: Our next question is from Walter Pritchard with Citigroup. 
Walter Pritchard: Marc, you mentioned the 10% of Facebook advertising is going through your recently acquired Buddy Media asset. And I'm wondering as you think about sort of your long-term role in the world, is that a role you wish to play sort of an intermediary? And I'm just curious how you're thinking about your need to build out more assets in the social space. It seems like it's kind of the wild, wild west at this point, and you've got a pretty good collection, there's others that are out there. Just curious how complete you view that solution at this point. 
Marc Benioff: I'm really focused on how do we get the marketing cloud to $1 billion in revenue. And our strategy is really, first and foremost, to pick up the #1 asset in the social media marketing, which was Radian6, which we did a year ago. I think when we did that, that would -- made it really clear to everyone that we were going to be a player in marketing for the first time. That was driven primarily by our customers. You probably saw Dell and the Gatorade and even the American Red Cross all had built these social media command centers and started to promote them on YouTube and other vehicles and came to us and said, "This is a company that you should be paying attention to." And we acquired the company for over $300 million. And as part of that transaction, we really started to look at what was happening on the total marketing space. After successfully integrating them a year later, we saw that there was going to be a consolidation in social media management. And our strategy was very simple, we had to once again acquire the #1 player and leave the #2 and the #3 and the #4 player to others, and we did that with Buddy Media. And by putting those 2 #1 players together and 2 outstanding leaders, with Michael Lazerow and Marcel Lebrun, we were able to reconceptualize what those 2 products now have created, which is really a 1 plus 1 equals 3. And we'll demonstrate for that for the first time at Dreamforce. Now as you probably know, just before we acquired Buddy Media, they had acquired Brighter Option, which is a major visionary in terms of how ads will be acquired and placed in social media. And you'll see that as a strategic part of our marketing cloud. Now in terms of that as part of the marketing cloud, we believe that CMOs are going to want their own cockpit to fly, their own fighter jets, because honestly, CMOs are going to start spending much more than CIOs in technology. IBM has said that, a lot of companies have said that. We agree with that and we want to invest so that we can take advantage of that spend. But what no one has delivered yet is really that cockpit for the CMO and for all those marketers integrated with the sales and service solutions so that companies can have a total 360-degree view of their customer from advertising to close.  And we're going to offer that solution at salesforce.com. We're already #1 in sales. We're already #1 in service. It's very clear to everyone, I think, we're going to be #1 in marketing, and of course, we're #1 in business platform. These are really our 4 major strategic growth levers for the company, and then it's complemented by our support of Chatter and collaboration and our entry into work. 
Operator: Our next question is from Heather Bellini with Goldman Sachs. 
Heather Bellini: Marc, I wanted to follow up, you said you're focused on getting the marketing cloud to $1 billion. I guess given -- I was wondering if you could share with us how much evangelism do you think it takes to get to that $1 billion level? And secondly, do you think -- is that partly when you put the collection of assets together, including Buddy Media, including Radian6, is that kind of the type of evangelism that you need is showing kind what the full suite could look like, whereas that wasn't a possibility in the past, for one person to offer everything? 
Marc Benioff: Well, Heather, if you go to our website, you'll see yesterday, we started to roll out the next generation of our home page, which is the next generation of our positioning. And you'll see how sales, service and marketing are at the core of how salesforce.com positions itself. First and foremost, Heather, you know that we've made a dramatic investment over the last decade in building out really the single most productive Salesforce in enterprise cloud computing. And that Salesforce is able to sell a lot of different types of solutions. We've demonstrated its ability to sell sales solutions. We've demonstrated its ability to sell service solutions, and we believe this year we have already started to demonstrate its ability to sell marketing solutions. We have to be able to sell to that chief sales or chief revenue officer. We have to be able to sell to the chief service officer. We have to be able to sell to the chief marketing officer, and we have to be able to sell to the chief information officer. And when you get to Dreamforce, you'll be surprised to see how many chief executive officers are there. In fact, many chief executive officers of our customers already signed up to come to Dreamforce, including, as I mentioned, Richard Branson, and even Jeffrey Immelt is coming in a nonpaid capacity to talk about the transformation that GE is making into a social enterprise. And we will demonstrate for the first time how General Electric's aircraft engines are integrated into Salesforce's Service Cloud and Sales Cloud to offer a complete picture to their sales professionals and service professionals on how their technology is operating, and they're going to talk about how that's made them more efficient or, what they say, how it lets them start to speak machine for the first time. And we think that this is the transformation that all companies are going to have to go through, and we're leading that. And I don't think we can make that transformation without marketing. And that's why we've made the investment in marketing. We've made the bets, and we are now executing. It's not going to happen overnight, but it's also not going to take that long, honestly. And I fully expect that, just as today we announced that we're over $500 million annual revenue run rate on service and well on our way to $1 billion in the Service Cloud, very shortly, we'll be talking about the same kind of numbers with the marketing cloud. 
Operator: Our next question is from Brent Thill with UBS. 
Brent Thill: On Europe, you've showed the third quarter of accelerating constant currency growth. If you could just maybe give us a sense of what you're seeing from a bookings perspective and with the dynamics helping shape the great performance in Europe. 
Marc Benioff: One year ago, we made a dramatic management shift in Europe, where we brought in the #2 from Oracle, Miguel Milano, to be our President of Salesforce Europe, and he has done a phenomenal job. And we're extremely excited about the performance of our European organization, and we really expect a continued delivery in Europe through the year. Our pipeline in Europe has never been more exciting, and our ability to do -- talk to and work with the largest European organizations has really -- has never been as confident as it is today, and we're continuing to invest. And in countries that we have not had a presence that are significant IT-oriented countries, we've talked about this in the last 36 months, we have invested not only in the U.K., which has been an anchor for Salesforce in Europe, but we've also made major investments in France and Germany, and those are paying off. And that is the acceleration that you're seeing today. We, as you know, have shied away from countries like Spain and Italy, and we're really focused on the U.K., France, Germany and the Netherlands as the heart of our first stage of Salesforce's growth in Europe, and we're really getting ready for that second stage of growth. And as we prepare to add more countries in Europe, we will bring you online and explain that strategy to you. 
Operator: Our next question is from Jason Maynard with Wells Fargo. 
Jason Maynard: I just have one question about your shift into the multiproduct company, especially with Service Cloud in its ramp [ph].  How would that impact as you go to market, and how are you dealing with partners when they are [ph] looking at the some of the largest system integrators today versus, say, a year or so ago? 
Marc Benioff: Well, I really appreciate that question, Jason. Thank you. I don't see this as a shift, honestly. The way I see salesforce.com is we're a company that helps our customers connect with their customers, employees and partners in a whole new way. And many of our customers view us as the customer company. When they want to connect with their customers, they come to salesforce.com. And what I can tell you, Jason, is that means that we have to deliver sales, service and marketing as a complete solution to those customers so they can connect with their customers. And of course, our platform is primarily used for those types of applications, whether it's Heroku, which I know you're very familiar with, our Force.com platform or our Site.com platform. In all examples, customers use those platforms as customer connect. They are working to connect with their customers in a whole new way. Their customers are in new places. They're on Facebook. They're on Twitter. Or in the case of Kimberly-Clark, like they talked about on their earnings call, their salespeople need to go with iPad into their customer premises to sell them their products. In all cases, we're prepared to support our customers. And when we get to Dreamforce, we're going to be showing you the next version of Salesforce's platform, which is the Salesforce Touch platform. And the Salesforce Touch platform, you'll see at Dreamforce, we're going to go into general availability pilot on our core Salesforce automation application running in HTML5, on multiple devices, and you're also going to see that we are delivering a full set of services for our customers to build their own services in HTML5, so they can have heterogeneous device delivery. Now when you look at our competitors, whether it's competitors who deliver their own operating systems or whether it's competitors who are just specific to enterprise apps, none of them have done this platform transformation. That is not only how we delivered the first platform success, but we have now delivered our second major technology platform, which is our HTML5 platform. And you're going to see that delivered in our core apps as well as right out of our Force.com, Heroku and Site.com services as well. 
Operator: Our next question comes from Kash Rangan with Merrill Lynch. 
Kash Rangan: Marc, good growth rate in revenue. I was just wondering how we should think about the relationship between billings growth rate and revenue growth rate? Typically over the last quarters, most of your quarters, your billings growth rate has been faster than revenue growth rate. I'm wondering if there's any cross -- or maybe economic cross currents, larger deals being cut smaller, or maybe not. And maybe there's a shift to the marketing side of the business where the billings happens in a different way than the regular annual multiyear contracts. Just wondering how should we think about the relationship between these 2. That's it for me. 
Marc Benioff: Well, Kash, I really appreciate that. You probably know we don't give billings guidance, and I wouldn't know how to answer that question specifically to you. What I can tell you is we're working hard to deliver a full range of transactions, but there's no transaction that has changed salesforce.com more than a transaction that we introduced at our last Dreamforce conference, which is our Social Enterprise License Agreement. That really redefined for our customer that they could sign an SELA with us and acquire all of our products in one concept: sales, service, marketing, platform all as one unit and without a focus on a per-user pricing. And we'll reveal at Dreamforce how many of these SELAs that we have signed, and I think everyone will be impressed to see so many customers, and so many customers in the room will sign SELAs with us. And I thing that's one of the core drivers of our growth. I mean, we had a great quarter, 37% on a constant currency. I don't think we could expect more than that, and I think we've got a killer strategy going forward as a customer company delivering sales, service, marketing, platform, collaboration and work to reconceptualize how our customers connect with their customers. 
Operator: Our next question is from Brendan Barnicle with Pacific Crest Securities. 
Brendon Barnicle: Marc, historically you guys have partnered around lead generation piece on the marketing side. Would you continue with that with -- as you build out this cockpit? Or is that something you feel like you need to have internal? 
Marc Benioff: Well, that's a great question. When we look at a lot of the traditional marketing vehicles, like the lead-generation vehicles or the e-mail marketing vehicles, those are areas that we did not jump into, because we just didn't see the same rate of growth that we saw in social media marketing. And to that extent, we've mostly seen those companies be flat to modest growth and, in some cases, down. And we believe that fundamentally companies are moving away from e-mail as their marketing vehicle and lead nurturing, away from lead nurturing as their marketing vehicles and towards social media management. And that's why we're excited. Now I'm not saying that we won't include at some point e-mail and lead nurturing into our marketing cloud. If that's what our customers want, make no 2 ways about it, we'll deliver it to them. But right now, it's through partnerships. And one of the great things that Salesforce has developed is the AppExchange. If you go to the AppExchange, you're going to see thousands of pre-integrated applications into these services, all of our services: sales, service, marketing, platform.  The AppExchange has a full range of those capabilities, and you're going to see an awesome, awesome range. There's been over 1.4 million installations of applications from the AppExchange, and it's been a heart of how we deliver value to our customers. And that's a way right there that we're already delivering that lead capability. 
Operator: Our next question is from Karl Keirstead with BMO Capital Markets. 
Karl Keirstead: I've got a question for Graham. Graham, I wonder if you could update us on the invoicing duration shift at salesforce.com. I think you mentioned in the last couple of quarters that the percentage of new billings billed on a 12-month cash pre-pay basis might be about 2/3. I'm wondering did it inch up again in the July quarter? Has it peaked? And have you seen any kind of pushback on a full annual prepaid, given the weaker economy? 
Graham Smith: So first, no, it's actually really gone very well. We've seen very bold acceptance from our customers, and clearly, there are always a small number of exception cases that I get involved with. And remember, I have to approve all the exceptions to this personally, so I'm able to sort of get a sense of how this is going very directly. We've seen a very consistent shift, actually, over the last few quarters.  So looking at whether we look at Q4 or Q1 or Q2, the overall shift has been around 5 percentage points to annual away from semiannual, quarterly, monthly. So that's sort of the shift, and certainly, as you say, we're right around 2/3 annual in most quarters. As you know, that goes a little above 2/3 in Q4 because we have more large annual contracts typically in the fourth quarter, but roughly a 5-point shift for the last few quarters since we've initiated the program. 
Operator: Our next question is from Terry Tillman with Raymond James. 
Terrell Tillman: Graham, also had a question for you in terms of this unbilled deferred revenue number. I'm assuming -- I mean, it looked good, extremely well, actually, year-over-year, up 50%. You added $100 million sequentially in unbilled deferred revenue. Now that is down from the $500 million you added last quarter. Maybe you could kind of reconcile that. And then as we go forward with these Social Enterprise License Agreements, is this actually a metric that's going to jump around quite a bit and be volatile? 
Graham Smith: Sure. In terms of the off-balance sheet backlog, I mean, that number is going to -- the sequential change is going to be up and down. So for example, in Q1, we had our largest transaction ever and at that point, we renewed our largest customer ever for multiple years. And so some quarters, we'll have a very large replenishment into that backlog. And then some quarters, we won't get quite as much. And again, we disclosed that as an approximate number just to give people a sense for what we have contracted. It's not meant to be a super-precise number. And then the second question you had was around SELAs and are we going to see volatility. I mean, I'm not sure if you mean the number of SELAs we're signing. I think, obviously, we've been, as March outlined earlier, we're very pleased with our large transactions each quarter. Certainly, this quarter was a great quarter, and we outlined some of those on the call. And in terms of pricing, again, we've seen very, very consistent pricing over the last 8 quarters, that's kind of the window I look at for all of our major additions and geographies and sales segments, and we see very consistent pricing level. So we don't see volatility there at all. 
Operator: Our next question is from Tom Ernst with Deutsche Bank. 
Thomas Ernst: Just a quick follow-up on -- so you took us through the 300-basis-point hit essentially due to foreign exchange -- excuse me, 300-basis-point hit due to the change in billing terms on a sequential basis to a billings calculation. How much would it have been for just the foreign exchange? I think you only gave us the year-on-year change. 
Graham Smith: No, we gave you 2 numbers. We gave you the sequential change, which was $17 million. That was the headwind sequentially on deferred revenue -- sorry $14 million, I beg your pardon, and year-over-year is $26 million. So we gave you both those numbers, foreign exchange impact on deferred revenue. 
Operator: Our next question is from Robert Breza with RBC Capital Markets. 
Robert Breza: Graham, I guess, just quickly, as you think about foreign currency going forward here, obviously, it was a major headwind here. How should we think about it going into the kind of the second half of the calendar year and how you guys are looking to offset that? 
Graham Smith: Well, as I mentioned earlier, we've essentially absorbed a, roughly, $10 million headwind in the new guidance range that we put out today. So we've sort of -- we've tried to incorporate what we see as the likely FX environment for the second half. And we, obviously, each quarter, when we give guidance, we kind of take a small hedge against where the rates are. But clearly, this quarter, rates moved a lot. So clearly, we try and build in a reasonable assumption around FX rates for the second half when we give guidance. And we, obviously, just try to do the best job we can in this very, very volatile environment. 
Operator: Our next question is from Tom Roderick with Stifel, Nicolaus. 
Tom Roderick: Graham, I want to follow up on Karl's question earlier, just around this deferred billings adjustment. I realize you're getting into the weeds here just a little bit. But I wanted to understand just your perspective on how this plays out for the rest of the year, because it does look like it was about just under a 400-basis-point impact to the calculated billings number this quarter. So it looks like next quarter, it moves down a little bit again, but as you lap the annual effective of beginning this adjustment or this move to collect annually in Q4, is there any reason to think that goes off a cliff? Or conversely, is there any reason to think that the annual renewal cycle moves that number in the opposite direction, meaning that it could go back up? 
Graham Smith: So I don't want to, obviously, as you say, get too far down in the weeds. I think when we -- when this anniversaries in the fourth quarter, we would certainly expect the magnitude of the sort of reconciling items we've been talking about to diminish. However, I think we're going to continue to see a shift toward annual billing for at least the next 18 to 24 months from now. We still have plenty of customers. As I mentioned, we've got roughly 2/3 paying us annually, and the other 1/3 are paying us either semiannually and quarterly and then a small number monthly. We've still got all of those customers at some point to renew, and we will, obviously, be encouraging them to move to an annual bill frequency, too. So I think this will play out positively over the next 18 to 24 months. But clearly, as you say, when it anniversaries in the fourth quarter, the magnitude of those reconciling items is going to decrease. 
Operator: And your final question for today will come from the line of Raimo Lenschow with Barclays. 
Raimo Lenschow: Just a quick one on the competitive landscape. Obviously, your big push is coming on the Service Cloud at the moment, and that's where we're hearing from the field there's a lot of positive dynamic there. How is it right now doing now that's part of Oracle? And part of the reason for the purchase is, obviously, to stem that outflow of Siebel customers towards you. Do you see any change there already? 
Marc Benioff: We haven't seen any change so far in the dynamics with our Service Cloud besides its outstanding performance for the year. The #1 change that's happened in customer service and support for the year is that salesforce.com moved into the position of absolute leader with Gartner. That was incredible for us, but it's been reflected as well in the market. Customers call Gartner and ask them which products they should buy. And they review the strengths and weaknesses of each product with them, starting with salesforce.com as absolutely the best product in customer service and support, whether it's in the cloud or on-premise. And we have seen so many exciting customers now deploy that product. I was recently on a Procter & Gamble website myself getting some technical information about one of their products that I use. And in fact, up came our Service Cloud, and I was really proud of our entire team. But not as proud as I was to see them go by the $500 million revenue run rate, which was larger than, perhaps, any other customer service and support solution in the market today. And I know they are well on their way to $1 billion in revenue. The growth rate has just been outstanding. The technology is outstanding. And whether it's sales where we're #1, service where we're #1, marketing where we're #1 and/or on our business platform, salesforce.com dominates the cloud. And we have a great strategy to make sure that our customers have all the tools that they need to connect with their customers and drive top line growth. And in every discussion that I have with a chief executive officer, that's their #1 goal, to have a customer obsession and to grow their companies.  And salesforce.com is doing that. And that's why I am so excited coming into Dreamforce. We're really coming in hot based on all these great technologies that we have and clarity on our strategy and alignment with customer demand. So we're going to look forward to seeing you there.  On September 19 will be my keynote, at 9 a.m. And we've got a great concert that night with the Red Hot Chili Peppers. The next day, we'll be doing some incredible technology programs. Also on September 20, we're going to be doing our Analyst Day, as David said. I hope I'll see all of you there. That night, we've got our Children's Hospital benefit concert with Lady Antebellum. And then Friday is Tony Robbins day at Dreamforce, and if you want to be motivated and excited at a level that you've never been before, we're going to see you on Friday, September 21 for Tony Robbins day. It's going to be like nothing you've ever seen at a technology event. All right, and back to David. 
David Havlek: All right, well great. It sounds like Marc has given the final Dreamforce advertisement. I expect to see everybody there, and I will be taking names for those of you who aren't there. 
 Just a couple of other events you should be aware of where Salesforce will be appearing. Graham Smith will be presenting at the Citi Technology Conference in New York on September 4. Marc will be keynoting at the Deutsche Access Conference in Las Vegas on September 13. And for those of you who can't make Dreamforce, I encourage you to come to Cloudforce New York on October 19 at the Javits Center. We look forward to seeing you at one of those events soon. This concludes our call today. Thanks again for joining us. Have a great day. So long for now. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference call. You may now disconnect.